William Jones: Good morning. Thank you all for joining us today. Sally Washlow, Orion's CEO; and Per Brodin, its CFO, will review the company's first quarter results and its fiscal '26 outlook, and then we will open the call to investor questions. Today's conference is being recorded. A replay will be posted in the Investors section of the company's website, orionlighting.com. As a reminder, prepared remarks and answers to questions include statements that are forward-looking under the Private Securities Litigation Reform Act of 1995. Forward-looking statements generally include words such as anticipate, believe, expect, project or similar words. Also, any statements describing future objectives or goals, company plans and outlook are also forward-looking. These statements are subject to various risks that could cause actual results to differ materially from current expectations. Risks include, among other matters, those that Orion has described in its press release issued this morning and in its SEC filings. Except as described therein, Orion disclaims any obligation to update or revise forward-looking statements made as of today. Reconciliations of certain non-GAAP financial metrics to their nearest GAAP measures are also provided in today's press release. Now I will turn the call over to Orion's CEO, Sally Washlow.
Sally A. Washlow: Good morning, and thank you for taking the time to join today's call. When I became CEO in April, I was confident that we could promptly establish a trajectory of year-over-year growth in revenue, profitability and shareholder value. Today, less than halfway through my first full quarter as CEO, I can say that I'm not just confident of it, I'm certain of it. Here are the 3 reasons why I am certain of it. Orion Energy Systems is recognized widely for unsurpassed quality in LED lighting and electrical infrastructure for industrial and commercial facilities, unsurpassed quality. The proof of this is that some of the biggest names in the automotive industry rely on Orion and effectively only on Orion to light up its most critical facilities in North America. Orion Voltrek is recognized particularly throughout the Northeastern United States for unsurpassed quality in EV charging and electrical infrastructure. Unsurpassed quality. This, too, is evidenced by yesterday's announcement about our most recent deployment in the Boston Public Schools. Orion is also recognized widely as an ongoing partner of unsurpassed quality in our maintenance services. Unsurpassed quality, our maintenance services have been integral to our long-standing and new customer relationships. Recent headlines notwithstanding, all 3 markets for these business lines have tailwinds nationally and regionally. Orion has a timely opportunity to convert its quality leadership into market leadership in all 3 of them. We further believe that this translates into a parallel growth opportunity for reoccurring revenue and margin expansion. With a sharpened focus on growth, profitability and market penetration in each of these areas, we believe we can achieve that market leadership in this fiscal year. I'll have more to say about this with increasing frequency and with increasing granularity throughout this fiscal year. But for now, I believe strongly that we are on track to achieve 3 milestones for FY 2026. By the end of the third quarter, a positive resolution that enables publicly traded Orion to maximize its opportunity for growth and shareholder value. By the end of the third quarter, the enactment of a growth, profitability and cost containment initiative that enables Orion to become a recognized long-term market leader in its core businesses and by the end of the fourth quarter, $84 million in revenue at a positive adjusted EBITDA for the full fiscal year. Walking in the door in April, I was fully cognizant that for my fellow shareholders, the Orion Saga has been a long journey. Today, I'd say only that we see no better growth opportunity in this sector than Orion and that we are now embarking on a mission that is fully capable of fulfilling it beginning in this fiscal year, and I am certain of that, too. Now drilling down on Q1. Overall, the work we have been doing to enhance margins and reduce costs enabled us to deliver meaningful progress on the bottom line in Q1 '26 and puts us in a solid position for the full year. Our gross profit percentage rose to over 30% for the first time in about 6 years, and we achieved our third consecutive quarter of positive adjusted EBITDA. These improvements were achieved as the EV segment faced a tough year-over-year comparison. The decrease in EV revenue was largely offset by a solid rebound in maintenance revenue and slightly higher LED lighting revenue. While visibility in the EV segment remains challenged, we did have the public school bus charging station project start near the end of June. Our gross profit percentage increase resulted from meaningful reductions in the cost of our LED lighting fixtures through reengineering, plant efficiency efforts and enhanced sourcing as well as from both margin and volume increases in our maintenance service business. We were able to reduce total operating expenses by 10.6% to $6.9 million in Q1 '26 from $7.7 million in Q1 '25 through personnel and other cost control efforts, and we expect to benefit from other cost initiatives as we progress through the year. Turning to revenue. We have made great progress in building our pipeline of contracted LED lighting projects, some of which are highlighted in today's release, and we continue to make progress building our footprint within existing maintenance service customers. We are also taking steps to improve sales performance in our lighting distribution business, which serves a different base of customers. We have had initial success in this channel with the new line of value-based LED lighting fixtures, including Triton Pro, which we designed and engineered in response to feedback from channel partners and end customers. Triton Pro balances high-quality design components and energy efficiency at competitive price points that are resonating with customers. Now with a compelling product line and an investment in personnel to expand our market penetration in this channel, we expect our lighting distribution business to return to a path of growth. Another exciting potential avenue for growth for Orion is in electrical infrastructure, which falls in the sweet spot of our many decades of collective experience from large LED lighting projects, high-voltage EV charging station infrastructure and a wide range of electrical maintenance services. Each of our segments is involved in electrical infrastructure, and we have built a nationwide network of certified electricians with deep expertise and major project experience that is ideally suited to meet this need. Increasingly, our customers have been coming to us to bid on electrical infrastructure projects that may or may not involve other areas of specialty. Electrical infrastructure work is both an ideal complement to our existing business as well as a great opportunity to add further value to our customer relationships. Companies across the U.S. are making significant investments in electrical infrastructure for large-scale data centers, alternative energy generation, retail and office complexes, electrified vehicle fleet charging and other applications. Rapid growth in both the scope and complexity of electrical systems and the range of businesses that rely on them is starting to challenge the available pool of experienced personnel. Based on customer discussions over the past few months, we believe Orion is in a strong and unique position to serve this nationwide opportunity. We are still in the early stages of creating a roadmap to evaluate this market opportunity. We have invested some time and resources to compete for such projects, and we recently secured an electrical infrastructure project from an existing customer and have submitted initial bids on a few other projects. I don't have much more to say at this time on this matter, but did want to share with investors that we are exploring opportunities and we'll provide updates as warranted. Now I'd like to follow up on the reorganization plan we discussed on our last conference call. The decision had been made prior to me becoming CEO, but after further review, both internally and externally, we have decided to retain our existing operational and reporting structure rather than reorganized into 2 business units. We came to realize that we could achieve the same synergies under the current structure while keeping our team and resources focused on customer priorities and business development dialogues at the core of our growth goals. We are realigning some roles and are working to better integrate our EV solutions across our national footprint to create both sales and operational efficiency benefits that were objectives of the prior plan. The most important thing is for our teams to stay in close contact with our customers and prospects and to drive increased collaboration across our segments, and we feel we can best achieve those goals under our current structure. I believe Orion has built a strong and unique platform of high-quality and industry-leading solutions to meet our customers' goals and needs. We have made significant reduction in overhead, meaningful progress enhancing margin and have built a diversified pipeline of revenue to support our growth. In the first quarter, we made progress in our goal to return Orion to profitability, trimming our Q1 net loss to $1.2 million from $3.6 million in Q1 '25 and $6.6 million in Q1 '24. As stated earlier, we believe we are on track to achieve the revenue growth and adjusted EBITDA goals of our FY '26 outlook. I am both excited and confident in Orion's potential to deliver both growth and improving bottom line performance in FY '26 and moving forward. With that, let me turn it over to Orion's CFO, Per Brodin, to review our financial performance and outlook.
John Per Brodin: Thank you, Sally. Good morning, everyone. Today, we reported fiscal Q1 '26 revenue of $19.6 million compared to $19.9 million in Q1 '25, with 2 of Orion's 3 segments growing year-over-year. LED lighting segment revenue increased 1% to $12.9 million compared to $12.8 million in Q1 '25, reflecting increased project activity, offset by lower lighting distribution channel sales. Orion's expanded LED lighting project pipeline and efforts to drive growth in the distribution channel are expected to contribute to higher revenues in fiscal '26 versus fiscal '25. Lighting achieved a Q1 '26 gross margin of 31.8% versus 22.6% in Q1 '25, with impacts from pricing increases, cost reductions and sourcing initiatives amplified by a more favorable Q1 '26 project and revenue mix. Electrical Maintenance segment revenue increased 21% to $4 million in Q1 '26 from $3.3 million in Q1 '25, reflecting the benefit of new customer contracts and the expansion of some existing relationships. We achieved a Maintenance segment gross margin of 22.4% in Q1 '26 versus 3.8% in Q1 '25 as we were still working through some of the remaining Stay-Lite legacy customer contracts, which were no longer profitable in the prior year period. EV charging solutions revenue was $2.7 million in Q1 '26 compared to $3.8 million in Q1 '25, reflecting expected variability in the timing of larger projects. For example, Q1 '25 benefited from $1.3 million of Eversource-related projects that did not recur in Q1 '26, and we had nominal Q1 '26 revenue from a $3 million public school bus project that commenced in the last week of the quarter and should be completed in Q2. We expect a sequential revenue improvement in Q2 '26, primarily due to the school bus project and one other significant contract. EV achieved a strong gross profit margin of 33.5% versus 33.4% in Q1 '25. Our overall gross profit margin increased 850 basis points to 30.1% versus 21.6% in Q1 '25, reflecting pricing and cost improvements in all segments, particularly LED lighting and maintenance. We expect our overall gross margin to remain strong in FY 2026, though it will likely vary on a quarterly basis due to revenue mix and volume. Total operating expenses declined to $6.9 million in Q1 '26 from $7.7 million in Q1 '25, reflecting ongoing overhead and personnel expense reductions. We expect continued operating expense improvement from overhead reduction efforts completed or planned in fiscal '25 and fiscal '26 with some offset by potential increases in variable operating expenses, driven by a return to growth. Reflecting stronger gross margin and lower operating expenses, Orion's Q1 '26 net loss improved to $1.2 million or $0.04 per share from a net loss of $3.8 million or $0.12 per share in Q1 '25. Adjusted EBITDA improved to positive $0.2 million in Q1 '26 versus a negative $1.8 million in Q1 '25, reflecting cost control and financial discipline. Cash used in operating activities improved to $0.5 million in Q1 '26 from $3 million in the prior year period, primarily due to the improved bottom line performance. We also reduced our revolver credit borrowings by $1.75 million during Q1 '26 to $5.25 million at the close of the quarter compared to $7 million at year-end. Net working capital was $6.1 million at Q1 '26 versus $8.7 million at year- end, primarily reflecting the use of cash to pay down the revolver. Available financial liquidity was $9.8 million versus $13 million at year-end. Post quarter end, we issued $1 million of common stock and made a $500,000 cash payment to partially satisfy the Voltrek earn-out obligation. Turning to our fiscal '26 outlook. We have reiterated the fiscal '26 revenue growth expectation of 5% to approximately $84 million that we initiated in June. We have also reiterated that our revenue growth outlook positions Orion to approach or achieve positive adjusted EBITDA for the full fiscal year, depending on revenue mix. This growth outlook anticipates modest growth in LED lighting and electrical maintenance revenues and flat to slightly lower EV charging revenues due to current uncertainty around near-term funding availability for EV charging projects despite significant long-term infrastructure requirements and other opportunities. With respect to tariffs, the LED components that we source from Asia make up a small proportion of our cost of sales. We've been working to diversify our sourcing efforts in order to mitigate supply and tariff risks. Because we manufacture a large portion of our finished product in Wisconsin, we feel we are better positioned than competitors who source most or all of their products from overseas. Given this, we believe there's enough room to adjust our pricing to cover as much or all of the cost increases that we currently expect from tariffs. So at this point, we expect to manage tariffs to a net neutral impact for the business. And this concludes our prepared remarks. Operator, would you please commence the question-and-answer session.
Operator: Our first question comes from the line of Eric Stine from Craig-Hallum Capital Group.
Eric Stine: So I mean, you clearly now have the cost structure set up to drive profitability, just a number of revenue growth initiatives. So I am interested in the electrical infrastructure piece. And I know you kind of said you're somewhat limited as to what you can say. But as we think about that, I mean, is that something where you would potentially bring that under your turnkey offering, leverage those relationships with electrical contractors out there, subcontract out. I guess I'm just trying to get at kind of what is entailed in building that out? Is there much of an investment needed on your side to do it? And any details you can share would be great.
Sally A. Washlow: So we are in the early stages of it. With growth, there'll be more investment, but we feel our current infrastructure can probably manage it and then we can scale appropriately. And this could also come from some of the EV work that we do as well. So think of it beyond traditional even turnkey lighting EV as well.
Eric Stine: Got it. Okay. I guess I'll stay tuned on that one. And then secondly, I know your pipeline, you've been optimistic on that for some time, and we have seen a pickup in orders. I know that it takes time for that pipeline to flow through to actual awards. But do you expect that as you get into fiscal '27 and beyond, you start to see the impact of that growing pipeline and start to see the leverage from that revenue growth?
Sally A. Washlow: Yes. We do think that it will go beyond this year and into next year, absolutely. Some of the projects or things that we're working on now will continue into next year.
John Per Brodin: So they will benefit in the current year and then years beyond.
Eric Stine: Right. And then the pipeline, though, I mean, right, the pipeline, what you've got now gets you into part of '27, but closing the pipeline to drive further growth to see further operating leverage.
John Per Brodin: Correct.
Sally A. Washlow: Correct.
John Per Brodin: How we should think about it.
Operator: Our next question comes from Bill Dezellem from Tieton Capital Management.
William Joseph Dezellem: I'm probably going to break the rule of 2 question limit here. Let's start with the electrical infrastructure, if we could. You mentioned that you have an initial project. And to help us understand really conceptually what it is that you're talking about when you say electrical infrastructure, would you discuss kind of the actual activities that you all are doing with this contract win, please?
Sally A. Washlow: Sure. We'll discuss more of it in further releases. We're in the early innings of this project, but it is beyond our retrofit lighting and doing a lot more of the electrical infrastructure work and setting up areas to even on EV, do a lot more work surrounding that. So like I've said, this has just started, and we'll be back with more details. And I think you'll see an increase in announcements from us on all the work that we're doing.
William Joseph Dezellem: And Sally, did we hear correctly that you have embarked on expanding the activities that you're doing in this electrical infrastructure by request from your customers?
Sally A. Washlow: Yes. It started from a request of a customer that we've worked with requesting us to fulfill some other services within the work that we were doing with them, and it's further expanded.
William Joseph Dezellem: That's helpful. And then the Northeast bus activity, I believe that in the past, you all had -- I think it was the Boston school system. And I think that contract probably was completed. So would you kind of relate or tie together the contract of the past versus this new win that started the last week of June. And if they're somehow related, if they're unrelated, what tie or link there is between them, please?
Sally A. Washlow: Sure. It is further expansion of what they're doing across Boston in terms of electrification of their public school bus systems. So yesterday, we announced the work within this realm. So it's further expansion of the electrification of their fleet. And leading from the great work that we did, there's a continuation and award of more business.
William Joseph Dezellem: And so the announcement yesterday of $6.5 million for the Boston Public Schools, that is a new win. That's not the current win plus the win of the past?
Sally A. Washlow: It is an ongoing win. So we've started some of the work, and it will continue throughout the year. But it had not been previously released.
John Per Brodin: So it did not include the revenues we recognized in the prior year for Boston for what I'll call the first 2 phases of that project.
William Joseph Dezellem: And Per, to help us scale this, the first 2 phases, what was the revenue amount with those 2?
John Per Brodin: Phase 1 was approximately $1.3 million. And I believe Phase 2 was another $1 million, give or take. I'm not certain of that piece of it.
William Joseph Dezellem: So this is a meaningful expansion. I mean we go from $1.3 million to $1 million and then Phase 3 now is $6.5 million. Is that the right way to think about this?
Sally A. Washlow: Yes.
John Per Brodin: Yes. And maybe another way to give it more context that those first 2 phases I mentioned were the same location. And so if you think it's $2-plus million for that location, then as they're expanding to other locations, that's when they -- the amounts can add up pretty quickly.
William Joseph Dezellem: Well, then that begs the question of how many different locations do they have?
John Per Brodin: That, I don't know.
William Joseph Dezellem: But more than 2?
John Per Brodin: Yes.
William Joseph Dezellem: Okay. Great. And then one additional question for now, please. In the past, you all have talked about the fluorescent bulb ban that is to take place in certain states. Would you bring us up to speed the dynamics of that and whether any of those have been pushed out this year or pulled in? Where do we stand, please?
Sally A. Washlow: We probably need to get back to you with a complete answer on that. I haven't seen any walk back, but we can certainly follow up with you on that.
William Joseph Dezellem: Do you foresee that being a driver to business for you all? And if so, when would you think that you would start to see the benefits from that?
Sally A. Washlow: I think it's one of the drivers of the business for us, but another big driver for the business is the ROI that these projects provide to the customers that we deliver them to.
John Per Brodin: And from a timing standpoint, a number of the states began the beginning of this calendar year. So it will have started to make an impact, but others, it's not until the beginning of calendar '26.
William Joseph Dezellem: And enforcement, are you sensing that the states are enforcing the law at all? Or is this a case where businesses will just naturally deal with their lighting situation as they have problems, breakage, et cetera.
Sally A. Washlow: I think it's too early to tell on enforcement.
William Joseph Dezellem: Congrats on the nice margins.
Operator: This concludes the question-and-answer session. I would now like to turn it back to Sally Washlow for closing remarks.
Sally A. Washlow: I want to thank everyone again for taking the time to join us today. We look forward to updating investors on our second quarter call in early November. In the interim, we hope to have the opportunity to meet in person or virtually with many of you. We will be conducting some individual investor meetings as well as participating at the H.C. Wainwright Conference on Tuesday and Wednesday, September 9 and 10 in New York City, and we'll present at the Singular Research Alpha Leaders Conference also in New York in September. We will announce details via press releases. Please also reach out to our Investor Relations team with any questions or to set up a meeting. Their contact information is at the bottom of today's press release. Thank you again for your interest in Orion. I look forward to updating you on our progress next quarter. Operator, I'll turn it back to you.
Operator: Thank you, everyone, for your participation in today's conference. This does conclude the program. You may now disconnect.